Operator: Ladies and gentlemen, thank you for standing by. My name is Beverly and I will be your conference operator today. At this time, I would like to welcome everyone to the Canada Goose First quarter Fiscal 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Ana Raman, Vice President of Investor Relations. Please go ahead.
Ana Raman: Thank you, operator, and good morning everyone. With me are Dani Reiss, our Chairman and CEO; Neil Bowden, Chief Financial Officer; Carrie Baker, President of Brand and Commercial; and Beth Clymer, President of Finance Strategy and Administration. To start off brand new this quarter, we are introducing presentation slides to accompany our prepared remarks. So please follow along on this webcast. We will make forward-looking statements on our call today that are based on assumptions and therefore subject to risks and uncertainties that could cause actual results to differ materially from those projected. We undertake no obligation to update these statements except as required by law. You can read about these assumptions, risks and uncertainties in our press release this morning, as well as in our filings with US and Canadian regulators. These documents are also available on the Investor Relations section of our website. We report in Canadian dollars, so all amounts discussed today are in Canadian dollars unless otherwise indicated. Please note that financial results described on today's call will compare first quarter results ended June 30, 2024 with the same period ended July 2, 2023 unless otherwise noted. Lastly, our commentary today will also include certain non-IFRS financial measures which are reconciled at the end of our earnings press release. For today's call, Dani, Neil, Carrie and Beth will deliver prepared remarks, following which we will open the call to take questions. With that, I'll turn the call over to Dani.
Dani Reiss: Thanks Ana and good morning everyone. Canada Goose's first quarter results marked a solid start to the year. We achieved sales growth and operational efficiencies that reflect progress across our key operating imperatives for fiscal 2025. Q1 revenue was $88.1 million, up 4% year-over-year, also reflecting the relatively smaller size of this quarter. Our performance in Mainland China was a highlight this quarter as we continue to capitalize on key shopping moments in this market on the back of our strong brand and advancement of our DTC initiatives. We believe these results combined with ongoing execution of our planned initiatives have us on track towards achieving our annual expectations as we navigate the continued dynamic global operating environment. On our fourth quarter call, we shared our operating imperatives with you. First, setting the foundation for the next phase of our brand and product evolution. To accomplish this in May, we announced our first ever Creative Director, Haider Ackermann who launched an inaugural design which represented our best ever marketing campaign performance. Now, obviously there is so much more to come. Second, implementing a best-in-class retail execution to maximize the positive profit we generate, drive a more consistent excellent customer experience and greater sales productivity and profitability over the year. And third, simplify the way we operate to become more efficient and more effective. You'll hear further details of the progress that we've made across all of our imperatives later on in this call from Carrie and from Beth. The imperatives I described represent our All-Star and the activities behind each are expected to position our company to better meet the needs of a business that has evolved significantly, selling into new channels in different geographies and new products over the last five to 10 years. As a reminder, the execution of our imperatives is underpinned by several strengths which include, a resilient business model that features strong gross margins and an ability to expand EBIT as we scale, our deep heritage of function in craftsmanship and a globally recognized brand, advantages of owned manufacturing capabilities both in Canada and in Europe and a highly dedicated and talented team that's passionate about the delivery of our vision and results and our purpose to keep the planet cold and the people on it warm. Given these competitive advantages our relatively smaller revenue base and a large market opportunity, we saw plenty of runway ahead of us. Before I pass the call over to Neil to review our first quarter financial performance, I'd like to share that we released our fiscal 2024 sustainability report earlier this week. As we execute on our key operating imperatives in fiscal 2025 and build our business for the long-term, we are mindful of our impact on the planet and the people in our communities and across our organization. I'm very proud of our achievements over the past year which included some notable highlights. First, we actively reduce our carbon footprint progressing towards our net-zero target. In fiscal 2024, we began improving the efficiency of our manufacturing facilities and global headquarters and investing in renewable energy credits and carbon offsets. As a result, we reduced Scope 1 and 2 emissions by 6% over the previous fiscal year with Scope 1 and 2 emissions down 38% compared to our base year of fiscal 2019, even as our owned operations have grown. Second, we continue to prioritize the sourcing of responsible materials steadily progressing on our preferred fiber and materials goal and reaching 80% of our materials coming from resources. We also furthered our commitment to eliminating forever chemicals from our products with 100% of products made in Canada in fiscal 2024 being PFAS-free. Our commitment and progress in this area was recognized by Fast Company earlier this year naming us as one of the most innovative companies in fashion. And we strengthened our relationships in the communities we live in and serve providing a record amount of fabric and material donations across Canada's north through our reseller center programs in fiscal 2024. We're pleased with our achievements across our sustainability strategy and the progress with our initiatives underway related to this year's key operating imperatives, we believe we are well-positioned to make steady progress towards our goals for fiscal 2025. And with that, I'll now pass the call over to Neil.
Neil Bowden: Thanks Dani. Our financial performance for the first quarter of fiscal 2025 reflected the early progress we are making across our key operating imperatives as we focus on the things within our control. While we are closely monitoring the macroeconomic dynamics in our markets and the impact they are having on consumer behavior, our energy and actions are squarely aimed within the organization at our operating imperatives. On to the results. Revenue in our first quarter increased 4% year-over-year or 3% on a constant currency basis, primarily due to growth in our direct-to-consumer channel, advancement of our exit inventory strategy, and incremental revenue contribution from the European manufacturing facility we acquired in Q3 of fiscal 2024, partially offset by an expected decline in wholesale revenue. I'll walk through the key revenue drivers by channel, starting with D2C. D2C sales grew 13% or 12% on a constant currency basis over the same period last year. Overall store revenue increased across all regions partially offset by lower e-commerce revenue in North America and EMEA. D2C comparable sales were down 4.4% year-over-year, largely reflecting a shift in our product sales mix, which more heavily leaned toward our spring/summer collection in addition to softer conversion trends, primarily in North America, which I'll address shortly. While we know our year-over-year comp growth results can be improved, we are very pleased with some positive developments during the quarter in this channel. First, we sold significantly more seasonal product across all regions compared to the prior with our apparel, wind wear, and footwear strongly resonating with new and existing customers, resulting in non-heavyweight down units, up 20% versus a year ago. While the change in unit mix lowered average unit revenue compared to Q1 of last year, the favorable response to our full product range demonstrates progress toward our strategy to evolve our product offering and become an all-season brand. We are focused on initiatives aimed at furthering our growth in these categories and expect our higher heavyweight down sales to ramp up as we approach our peak season, supported by our new initiatives in product and marketing. Second, we exited Q1 and an upward trend in certain markets, most notably the U.K., Germany, and Canada. More critically, we saw strength in Mainland China and Japan throughout the quarter, a continuation from our strong Q4 performance in those markets. Overall, DTC comp revenue and comp units sold experienced sequential improvement each month of the quarter, in tandem with progressing execution of our key operating imperatives. So far, we've seen mixed results in July. And we continue to monitor the consumer behavior around the world going forward with our peak plans. You will hear much more from Carrie, about what we're doing in the operational end to address the gaps. In Q1, wholesale revenue decreased $11.1 million year-over-year as expected, down 41% year-over-year or 42% on a constant currency basis impacted by the relatively small sales volume for wholesale in Q1. This decline reflected our planned lower order book, as we tightened supply to wholesale partners in a soft business environment and the continued optimization of wholesale relationships as we elevate the quality of our partners in this sales channel. Overall, we're confident in delivery of our order book to wholesale partners for the full year and continue to expect wholesale revenue to decrease 20% year-over-year on a full year basis. We delivered some incremental product in Q1, albeit small, above and beyond the planned order book with select partners. Revenue in our Other segment, increased to $9 million in Q1 of fiscal 20s25 from $1.9 million in Q1 of fiscal 2024, which included third-party sales from the European manufacturing facility we acquired in Q3 of last year. Friends and Family sales to exit slow-moving and discontinued inventory which did not occur in Q1 of fiscal 2024 and employee sales for which we implemented a new program in Q3 of fiscal 2024. Moving to a brief regional overview of performance, regional revenue will be discussed in terms of constant currency. Asia Pacific was our fastest-growing region in the quarter with revenue up 25% over the same period last year, even as we lapped strong comps of 43% year-over-year growth in Q1 fiscal 2024. Domestic shopping in Mainland China and Mainland Chinese tourists shopping at our stores in Japan, were once again the primary drivers of D2C growth in the quarter where consumers demonstrated strong demand for our in-season product. Solid store and online D2C performance in Mainland China and Japan resulted in double-digit comp growth in these two markets in our first quarter of this year. That said, in total, D2C comp sales were slightly down in the region, as lower sales in Greater China excluding Mainland China more than offset the strength in Mainland China and Japan. Within Greater China, Hong Kong, Macau and Taiwan faced significant pressure as shoppers chose to spend their dollars either domestically within Mainland China or in Japan. North America revenue was down 3% over the same period last year with U.S. sales growing by 2% and Canada down 7% year-over-year. In the first quarter, both regions experienced lower e-Commerce revenue in addition to lower wholesale revenue as was planned, partially offset by higher sales from new stores and other revenue contributions. In Canada, our Banff and Vancouver stores benefited from stronger tourism traffic in those cities, contributing to positive year-over-year D2C comparable growth in the market. D2C growth in the U.S. was driven by the impact of stores opened later in fiscal 2024 and therefore not in the comp base. We faced slower traffic trends in the quarter. We believe as a result of continued pressure on consumer spending in the market and heat weight experienced across the country in June and a strategic decision to intensify our performance marketing spend closer to peak period. We also faced softer conversion, likely due to not having enough seasonal inventory on hand to meet consumer demand in our stores and online which we rectified late in the quarter. This led to a decrease in comp sales in the region over the full quarter. Both brand awareness and having the right amount of inventory, at the right place, at the right time are key areas of focus for us so that we are ready to meet the demand as we have in. EMEA revenue decreased 11%, due to a decline in wholesale revenue partially offset by higher D2C revenue. While the first quarter got off to a slower start, execution in our D2C initiatives combined with increased tourist traffic generated by some popular live events in the region contributed to improvement in comparable year-over-year revenue growth in the region from May to June. We are especially encouraged by revenue improvements we've seen in our London Regent Street store as a result of our execution which Carrie, will describe in a moment. Moving down our income statement, let's turn to gross profit. Our first quarter gross profit decreased by 5% year-over-year, in turn gross margin declined 540 basis points to 59.7%. As always in our smallest quarter, small dollar impacts can have an outsized effect on the quarterly results. In Q1, channel mix and product mix had an outsized impact on our gross margin, given our smaller but we expect that it will have a minimal impact on the full year and we continue to expect that gross margin over the full year will be similar to fiscal 2024. The year-over-year decrease in gross margin in Q1 was mainly due to the following factors: First, our new European manufacturing facility in particular contributed to 330 of the 540 basis point decline, given its relatively fixed cost base seeing deleverage in a relatively small quarter. The factory remained an integral part of our category expansion strategy allowing us to leverage best-in-class manufacturing capabilities as we expand our luxury offerings. The remainder of the decline was – and channel mix, which was slightly offset by the positive benefits from pricing. In our DTC channel, we had a higher proportion of lower-margin non-heavy weight down product revenue within the mix compared with the prior year, which carries a lower gross margin than our heavyweight down product. While a D2C product mix had a larger-than-anticipated impact on our gross margin this quarter, we believe the increase in demand for our in-season collection was a very positive development, which can drive the gross profit dollar growth over the long-term. Channel-wise, we sold significantly more units year-over-year through our lower-margin other channels. Moving further down the P&L. Our adjusted EBIT was a loss of $96 million for the quarter, which increased from a loss of $91.1 million in Q1 of last year due to lower gross profit and higher costs associated with operating 14 more stores year-over-year, partially offset by lower corporate SG&A spend. The decrease in corporate SG&A spend was primarily due to savings that resulted from the two workforce reductions implemented in fiscal 2024 and led to a significant improvement in our SG&A as a percentage of revenue on a year-over-year basis. In Q1 FY 2024, we also had significant spend associated with our transformation program, which was included in our reported results and excluded from adjusted EBIT. Lastly on the income statement, Q1 adjusted net loss attributable to shareholders was $76.1 million or a loss of $0.79 per basic share compared to a loss of $73 million or $0.70 per basic share in Q1 fiscal 2024. Turning to our balance sheet. At June 30, inventory was $484 million, down 7% year-over-year, driven by a notable decrease in finished goods and raw materials and marking our third consecutive quarter of decreasing our year-over-year inventory balance. Beth will provide more color on the topic in a few minutes. SG&A efficiency and improved inventory levels are key metrics associated with our third operating imperative of operating with simplicity and we are pleased to see progress on both of those metrics in Q1. We ended the year with $766 million of net debt on our balance sheet compared to $712 million at the end of the first quarter of fiscal 2024, primarily due to approximately $140 million of cash investments in our share buyback program throughout fiscal 2024. We ended the period with approximately $335 million in unused borrowing capacity on our revolving credit facility having drawn $54 million in preparation for peak season. Our net debt leverage at the end of Q1 was 2.8 times adjusted EBITDA, which is in line with our net debt leverage at this time last year. We expect to end the year with leverage in line with historical levels. Turning to our fiscal 2025 financial outlook. Our first quarter results came in line with our expectations and we're pleased with the progress made across our key operating imperatives. Consumers are responding favorably to our apparel, wind wear and footwear product lines and we expect to capitalize on our heavyweight down offerings as we enter peak season. As for our annual outlook, we are maintaining our fiscal year 2025 guidance provided with fourth quarter and fiscal year results on May 16, which reflects our positive first quarter performance and incorporates an appropriate level of caution as we continue to operate in a dynamic global consumer environment and much of the year lies ahead. That wraps up the financial summary for our first quarter. I will now hand it to Carrie and Beth to discuss our three operating imperatives for the year and the progress we've made thus far.
Carrie Baker: Thanks, Neil. I'm happy to provide an update on our Q1 progress for two of our three key operating imperatives for fiscal 2025. First, brand and product evolution; and second, best-in-class luxury retail execution. Beth will follow with an update on our imperative, operating with simplicity. In fiscal 2025, we are strengthening the foundations of our brand, product and channel experiences to set up for long-term sustainable growth at scale while also unlocking near-term value. Our goal is to elevate the total experience for consumers sparking new interest and excitement in the brand and enticing prospective customers at every step of the shopping journey. Starting with our brand and product update. In May we announced Haider Ackermann, as our first Creative Director and launched his inaugural design with Canada Goose, the PBI Hoodie. This was named in support of our long-time partner Polar Bears International to raise awareness of the impact of global climate change. The response we've seen to Haider's announcement the launch of the PBI Hoodie and the accompanying campaign featuring Jane Fonda has been incredible. Our main objective for the PBI campaign was to drive brand heat and interest through our owned and earned channels. As Dani previewed our marketing efforts drove more than all the media impressions than our previous best ever campaign and we were equally as pleased with the commercial results which delivered strong sell-through rates. In June we launched our spring/summer collection introducing like suited for the warmer and weather seasons including t-shirts, Polos and new windwear styles. The collection featured 27 new styles including the launch of our very first rain boot the Vancouver Rain Boot further expanding our category of functional and stylish footwear. The response to this Canada Goose product which appeals to a buy now wear now consumer mentality has been very strong. From a consumer lens we're also happy with the effectiveness of our digital marketing efforts in attracting interest from new audiences and expanding our followership as well as exciting our existing fan base. In Q1 our Spring/Summer 2024 and PBI Hoodie campaigns together resulted in significant year-over-year growth in new e-mail subscribers and improvement in our global search results and success in attracting higher-quality followers on our social media channels. We're making progress advancing other digital initiatives as well. We're on track to deliver a faster e-commerce shopping experience ahead of peak season and we introduced new photography for our online channels this quarter which has produced positive results. We're also in the process of updating our online to better reflect our elevated brand. With Alfredo Tan, our new Chief Digital and Information Officer coming on board we look forward to accelerating our digital efforts with increasing impact. The progress we made in Q1 marked the beginning of our evolving brand efforts. Both our Fall/Winter collection launching in August and Haider's first capsule collection which will launch before holiday will be key brand moments that will reflect a bolder approach to marketing to build further brand momentum. As we said on our Q4 call a big part of our brand evolution extends to our wholesale channel. As a result of the work we've already set in motion we're seeing our wholesale partners who have known us for years as a leader and warrants shifting the perception of our brand relevance all year round as they discover the expanding breadth of our offering and they're extremely positive about Haider joining the brand and leading our design and creative vision. In Q1 this work has already resulted in select partners choosing to relocate Canada Goose on their floors for upcoming fall/winter season from the outerwear department to the luxury department which is the right path forward. Turning to our second operating imperative implementing best-in-class retail execution. To become a best-in-class retailer last year we undertook a thorough top-to-bottom review of every component of our retail business as part of our transformation program. By the way, we move product through our supply chain to the way we sell in stores so that the consumer experience is consistent across our retail network. This year we're in execution mode focused on getting the fundamentals in place so that we're set up to seize the exciting growth opportunities we see ahead as we scale our stores our product categories and our customer base. To accomplish this we're focused on three primary streams of work: One boosting our sales training; two strengthening our store operations; and three improving product availability. First is leveling up sales training for our store employees whom we call brand ambassadors. This is about reinforcing critical elements of our Canadian warmth experience, which means delivering warms in every interaction and expertise behind every recommendation. We're not a brand that just makes or sells pretty things. Our products are crafted with precision and purpose with performance at their core. So it's imperative that our brand ambassadors understand and can showcase the details of every product and category to ensure our customers confidently leave with the ideal Canada Goose product in hand. In Q1 we delivered in-depth product training to our brand ambassadors that equips them with the technical knowledge and brand stories to make deeper connections with our customers and consistently deliver a stellar in-store experience. We are in the process of rolling out the remaining training modules to set our store teams up for success ahead of our peak selling season. In June, we also introduced a new bonus compensation program in North America and EMEA that rewards our store teams as individuals and as a team. We believe this approach more apply combines our team-based culture with individual level accountability and it serves as a tool to attract the very best retail talent. Combined with our coaching and training initiatives, the new program is already producing results with labor productivity increasing in June over the previous year from the first quarter. Second, we are strengthening our store operations. In Q1, we reset labor hours across all regions to ensure we offer optimal staffing levels during our busiest periods to best serve our customers. We're also optimizing our in-store product presentations to better showcase seasonal product story in combination with Evergreen icons and showcase the breadth of our full lifestyle offering through layering and combining categories on the floor highlighting the progress we've made in our brand and our product evolution. And third, we're improving product availability by focusing on bringing more decision to our merchandising planning and inventory allocation capabilities. In Q1, we narrowed our SKU count to focus efforts and showcase our most after silhouettes and styles and newness from our 2024 collection. This also allows us to integrate and bring more focus to new designs that Hire will launch later this year and beyond. And to enhance inventory allocation, we redeployed product sizes and styles into different regions based on local demand which led to better sell-through this quarter. And we're testing more direct shipping routes from factory to store to increase speed to market and get products to our customers faster. These DTC execution efforts are producing real results. In Mainland China, our stores were prepared to capture strong consumer demand for our seasonal products in Q1 complemented by engaged sales teams, which contributed to the solid performance we saw there. Another great example is the progress we made in our London Regent Street store. This flagship store is a top 10 revenue store and a beacon for the brand in Europe as well as for tourists around the world. In Q1, we remerchandised this store with an assortment that represents our heritage, while also being seasonally relevant. We changed up how we presented our men's and women's assortments and we better matched brand ambassador staffing according to traffic levels. Additionally, the team at this store was one of the first to complete our new intensive training program. These efforts plus capitalizing on increased traffic trends contributed to a lift in store comp sales, which accelerated to double-digit growth as measured 45 days prior to implementation to 45 days post implementation. Our job now is to implement the learnings from these initiatives and then scale them across the network. Circling back to our Q1 results, which has typically been about 5% of our total annual revenue. While we are not satisfied with the negative DTC comp growth in our first quarter, I am encouraged by the progress we have made in these early days of execution. The actions we're undertaking and the results they've driven already gives us confidence in our ability to drive improved comp performance as we head into the larger quarters ahead. Now I'll pass it on to Beth, who will discuss our third operating imperative for fiscal 2025.
Beth Clymer : Thanks Carrie, and good morning all. In May, we talked about two primary ways, we're simplifying and focusing the way we operate. First, by achieving internal operating excellence; and second, through focused capital deployment. I'm happy to share updates today on good progress in both of these areas. First, achieving operating excellence. As I've said before, quite simply operating excellence is fewer people working more effectively on fewer priorities and driving the results. On our fourth quarter earnings call, we spoke about the headcount reductions and organizational changes we made at the end of March. I'm pleased to report that now four months out the organization has embraced these changes. I want to highlight a few examples and data points. We continue to evolve teams where we have the opportunity to be more efficient and effective. For example, in June, we further streamlined our product development and sourcing teams globally. This enables us to work more effectively with our European manufacturing partner, as we prepare to deliver new products across our global portfolio. It also allows us to replay more resources to support our Creative Director. We continue to evolve our culture and practices to be more efficient data-driven behaviors. For example, we've completely revamped our operating and commercial review cycles to produce more actionable outcomes, that focus on driving near-term top and bottom line results. We've also introduced an updated travel tool and policy that helps our employees act like owners and take greater accountability for costs incurred. And lastly, we continue to exercise very tight controls over head count, only hiring for the most critical roles. This has resulted in our corporate head count remaining relatively flat as of June 30 compared to where we were at the end of the fiscal year. These actions we've taken so far have had a positive impact on our cost base, with SG&A as a percent of revenue improving in Q1 over the same period last year. This not only reflects the workforce reduction implemented in fiscal 2024, but also importantly incremental cost savings efforts as well which contributed to the operating leverage observed for the quarter. Maybe more importantly, we just completed our first employee NPS pulse survey, since the organizational changes. And are seeing our overall NPS maintaining, despite the large amount of change that has occurred over the last several months. Most encouragingly, we're seeing NPS increase our retail team, reflecting the positive impact of our D2C execution and brand and product evolution operating imperatives. Second, I'll talk about our plan to improve capital deployment and working capital. On capital deployment side, we've prioritized technology investments supporting our key operating imperatives that we expect to generate a strong ROI. We've also slowed our store openings to focus on driving productivity in our existing store base. The combination of these two efforts, is resulting in a significant reduction in CapEx year-over-year. Our plan to rightsize our inventory levels is working, as we increase inventory efficiency through our planned temporary lower production levels, with third-party contract manufacturing partners as well as in our owned manufacturing facilities while continuing to use our friends and family sales to exit slow-moving and noncarryover SKUs. In Q1, we made solid progress lowering inventory levels by 7% year-on-year and increasing inventory turns by 6% for the 12-month period ending June 30 2024 versus last year. Given the seasonality of our business and the build of inventory in the first half of the year to meet demand during our peak season, we expect to see even more notable movement of inventory turnover in the second half of the year, coinciding the ramp-up of sales. We're early in our work here and have plenty more opportunity to continue to simplify and transform the way we work. We are operating in a more coordinated focused and cross-functional manner than we were this time last year, which is helping to drive the progress we've highlighted on the call today. We continue to focus on the most impactful areas to support improvement across our key performance metrics, and margin expansion in the remainder of this fiscal year and beyond. In closing, we feel good about the tremendous progress we made in the quarter. Overall, financial results were in line with our expectations and we continue to show our ability to engage more consumers, with our year-round product and our incredible craftsmanship design and authority as a luxury brands. We intend to continue to introduce compelling innovation and enhance our marketing. We are ruthlessly focused on improving our execution across the enterprise. We are both elevating our Canada Goose brand and experience, and building a more efficient and effective foundation for the company to deliver consistent long-term sales growth at higher levels of profitability in the future. We remain confident that we have identified and are actioning the right plan, and look forward to continuing to update you on our progress as we move through the year. Operator, we are now ready to take questions.
Ana Raman: Operator, can you please open the call up for questions.
Operator: Thank you. We will now begin the question-and-answer. [Operator Instructions] Your first question comes from the line of Oliver Chen with TD Cowen. Your line is open.
Oliver Chen: Hi, Dani, Neil, Beth and Carrie. Haider is quite talented and comes from a really strong background in fashion and execution as well. How he is integrating in the company? How are things progressing? And how will this intersect with continued progress in non-heavy weight down -- on non-heavy weight? And a related question what are some key goalposts that you're looking for to ahead? And how will the margin complexion interact with the model in terms of gross margins there? And second point, the SKU reduction sounds quite prudent in terms of getting goods to the right place at the right time and also working more efficiently. What do you have ahead for SKU reduction? And how should we think about that how that will impact the model? Thank you.
Dani Reiss: Oliver, thanks so much for your question, about Haider and we're very excited about the work that we're doing with Haider and he's been integrating in the way -- he's integrating into our company has been going extremely well. We know we launched -- someone may have 15 and we launched with single product, which did extremely well. And we are super excited about Haider is a designer of the highest order. He used the word fashion. He's -- and this is not about a fashion. He gets our brand. He gets our DNA. He gets where we are and where we come from and he will be designing beautiful products that will go on with our collection. This is a bold move for us and we're super excited about it, milestones to look forward to. The next one is going to be dropping capital collections in the fall of – this fall before the end of Q3 and before holiday and we're super excited about that. I think that this is really going to add a lot of energy to our brand both product mix, specifically and also all of our products as a halo effect. So look forward to more to come.
Neil Bowden: As it relates to gross margin, we're planning this year to be similar to fiscal 2024. The key things that we're looking at there are price increase. And so we've enacted our price increase across the portfolio that blends out in the mid-single digit. We're clearly managing production levels and we know that there's going to -- as we said I think in the year-end earnings call that we expected that would put a little bit of pressure on cost, which is okay. And then as we always have done we'll mix the evolution of the products and then this year is away from heavy weight down and into some of those non-heavy weight down products, as well as the channels and we think that all rolls up to in line with fiscal 2024 gross margin. Carrie, do you want to just talk a little bit about the SKU rationalization?
Carrie Baker: Yeah, sure. So first I want to add on the Haider front, I think the biggest impact will of course be on product, but he's also having an impact already with our team in marketing and on the brand. So the response from our wholesale partners, lots of positivity, excitement about what's to come. And then Haider bringing his creative vision to life from a brand perspective and you started to see that with the PBI hoodie launch that we did with Jane Fonda. So it really marks a step change in the way that we're bringing that brand to life. Back to product. So SKU rationalization, yes, I think there's -- we're making good progress. I think you can expect to see that continue as we focus on our top sellers and making -- for us to focus on the newness, as well as the newness that Haider will be bringing in. So nothing in terms of category rationalization. It's just looking at category by category. Where do we have the best chance at winning? Where is the strongest demand from customers, so that we can really design and market it to that?
Oliver Chen: Thank you. Best regards.
Operator: Our next question comes from the line of Alex Perry with Bank of America. Your line is open.
Alex Perry: Hi, thanks for taking my questions. Can you comment on sort of the efforts outside of the heavyweight category? I guess, you talked about a lot of different product categories outside of heavyweight down, which ones are you expecting the most contribution from this year? And then would you still be expecting growth from the heavyweight down category this year? Thank you.
Carrie Baker: Thanks, Alex. Yes, obviously, this is a journey. So we've been on this journey for some time now. We're making rapid progress on the different categories that we have introduced. So whether that's heavyweight down, you've seen in our results in Q1 so apparel and every day which is what we call our windwear collection and footwear that led -- those led the non-heavyweight down. So we're really happy with that seeing very strong demand and response from our consumers particularly in APAC this quarter. So that basket is truly evolving. And people are not only seeing brand for what -- how we've expanded, but also buying it in different seasons which again you're seeing the results of that in Q1. So we do expect heavyweight down to grow. There's a lot of focus and attention on how do we keep our icons our icons and that's what people know us vast for as well as moving into other categories. We think there's lots of opportunity in footwear for one. Accessories to a smaller degree, but we think there's lots of room there. Knitwear obviously our acquisition of the factory last quarter. So we have -- we think but there's a long of opportunity. We know that people come to us for warmth and protection. We think those two qualities apply to many more categories than we are in today.
Alex Perry: Really, helpful. My follow-up is how should we sort of think about the cadence of the D2C comp sales from here? Are you, sort of, expecting the strong growth to come in your highest volume season? Or how should we sort of think about the season of the comp sales to get to the low single-digit guide? Thanks.
Dani Reiss: Yes. I mean you'll recall we didn't necessarily give quarterly guidance and so I'm not going to speak specifically about expected metrics in any given quarter, but I think you're directionally correct that for two real reasons: One, we're putting a ton of effort as you heard in the prepared remarks. And as we talked about in the call a few months ago. We're putting a ton of effort around how do we become a best-in-class retailer and that takes some time. And so while we've got sort of mixed results on comps in the first quarter we would expect that by the time that we get to our peak season that we would be driving towards positive comps in order to get us to that low single-digit estimate for the year.
Alex Perry: Incredible helpful. Best of luck going forward. Thanks.
Operator: Next question comes from the line of Michael Binetti with Evercore ISI. Your line is open.
Unidentified Analyst: Hi. This is Justin on behalf of Michael Binetti. Thanks for taking our questions here. Can I maybe tell a quick on the Europe manufactured facility. Can you speak to how much that fixed cost base will impact gross margins in the rest of the year period given the guidance of flat grosses for the year seems to imply at the back half the rest of the year crop rely about 30 basis points. So we think about the 330 basis points of compression in the first quarter. Maybe could you give us an idea of how much that impacts the rest of your guide?
Operator: Sir, you may begin.
Carrie Baker : Operator, I think we're ready for the next question.
Operator: Next question comes from the line of Jonathan Komp with Baird. Your line is open.
Unidentified Analyst: Hi. Good morning. This is Alex Conway on for John. Neil I think you've previously talked about expecting a mid single-digit actually market growth this year with kind of some of the headwinds that competitors have called out. I know you said a more dynamic environment. Could you maybe share a little bit more about maybe what you're expecting for the full year now?
Neil Bowden: Yes. I mean I think you're probably right that the external data points suggest that mid single-digits is maybe on the optimistic side and sort of a lower single-digit growth environment is maybe more appropriate. I think as we've looked at how that impacts our business and the relative size that we are in the markets that we are and as diverse as those markets. I don't think we view that what might be a slight contraction in the overall estimate as I think I'm meaningful on the business. And so while we are clearly monitoring health of the U.S. consumer health of the Chinese consumer a little of tourism, et cetera, et cetera, we feel pretty good about our ability to execute the plans even with that pressure.
Unidentified Analyst: Yes. Thank you. That's very helpful. And then I guess just one more. On China could you dig into a little bit what you're seeing in the difference between some of the territories and then Mainland China and Japan and really why you think that dynamic is ongoing right now?
Neil Bowden: Yes. I'll start and Carrie can certainly add some color. So, I think in terms of operating performance in the quarter, Mainland China was a standout as was Japan. And I just want to caution that stand out in a small quarter can mean $1 million or $2 million or more. And so it's really not a meaningful dollar contribution, but the trend is it has been now for six months pretty strong in Mainland China and we're really happy. When you get outside of mainland and into places like Hong Kong, Macau, Taiwan, seems like the consumer pressure there and the traffic and the willingness to spend is much more under pressure and that's probably a trend that's been kind of going on for three to six months. We're happy with our location in each of those places. We're particularly happy with what the Macau business will ultimately, bring but certainly seems to be a little bit of tourist pressure there. If you get to Japan, currency situation there seems to be that the relative weakness of Japanese yen is resulting in a lot of in tourism, some of that mainly in Chinese some from other places. And when they're spending to take advantage of the arbitrage, we see that in our business although still a relatively light quarter as we've said a number of times this morning. And we clearly see that that's the market trend with some of the other -- some of our other peers in the -- that have reported over the last few weeks.
Unidentified Analyst: Thanks for all the color.
Neil Bowden: Thanks Alex.
Operator: Our next question will come from the line of Michael Vu with Barclays. Please go ahead.
Michael Vu: Good morning. Thank you for taking our questions. I just wanted to touch on your customer base. As your product mix continues to shift more towards the lightweight products on heavyweight products are you seeing more of an impact from repeat purchases from existing customers or a more outsized impact from new customers because of the new products?
Carrie Baker: Great question. So, our repeat customer purchase rate is quite strong and we're encouraged to see that when we announced Haider, in particular for -- so the big moment for Q1 and that we had a significant repeat purchase rate. Of course it was also meant to attract new customers which it did. But I think the idea as we're changing our mix as we're elevating the brand as we're bringing things to market in a different way, we're holding on to our customers and also growing it with new quality followers with the right kind of audience. So, it's a bit of both. I hate to -- I don't have specific numbers to share with you, but we're happy with the progress in terms of both exciting fans that have been with us for many, many years and seen us evolve and then attracting new customers and bringing them into the fold.
Michael Vu: Great. Yes, that sounds great. And then just as a follow-up regarding that. Have you seen any kind of change in your target demographic by any chance because of the introduction of the newer products? And is there any kind of shift or difference in the geographies for who's purchasing what?
Carrie Baker: I think -- I mean that's an interesting. It's hard to point to specific data points on that. I mean our approach has always been to reach a wide audience. So, starting the newest youngest generation have always been fans of candidates and so we've always been really relevant with that group and they tend to stick with us until later year. So, which we like, right? They grow with us they get excited they buy certain products and then product case evolves. So, I wouldn't say there's necessarily a change in how we're approaching that. We want to -- the biggest thing for us is making sure that we're relevant. And so staying relevant being a part of a relevant culture has always been a strong point for Canada Goose and we continue to do that. I think in terms of shifting geographies, each market has its own generation and marketing strategies in order to attract the audiences that we know that modern luxury consumer who is interested in Canada Goose at brands like go. So, nothing dramatic has changed in terms of our approach in reaching them. But the shift has been in how we bring it to market. So, where we're finding those customers making sure that our channel approach to marketing is real laser-focused on from a regional perspective. So that we can deliver the best results with the money that we're investing at.
Michael Vu: All right. Understood. Thank you so much.
Operator: Our next question comes from the line of Brooke Roach with Goldman Sachs. Please go ahead.
Brooke Roach: Good morning and thank you for taking our question. In the prepared remarks, you outlined several actions you're taking in the store to improve retail execution including labor hours, changes in associate compensation and product availability. Can you speak to the opportunity you see here from these initiatives for four-wall margins and your profitability of D2C during peak season as a result? And what are the opportunities beyond this 2025 for continued retail execution improvement? Thank you.
Carrie Baker: Thanks. So yes, we're doing a lot of work as you heard in my remarks. And we're seeing strong green shoots this quarter, which is great as we head into peak. I mean the biggest thing that you've heard us talk about we want to drive revenue. We want to drive comp sales and that's the best opportunity for us to improve our margins. So the team is really focused on the traffic that is coming into the stores, how do we maximize that whether it’s converting them immediately on one item or four items. How do we make sure that we're delivering that Canadian Warts experience and they leave with a product that they're thrilled with and that keeps them coming back time and time again and in different seasons. So that really is our focus of driving that top line revenue. Neil, I don't know if you want to add anything else.
Neil Bowden: Yes. I think we'll also be realistic about the amount of time that making some of these behavioral changes within the stores and spreading that across 70-plus stores will take -- the amount of time that will take and the effect that we should expect this year. We've been reasonably cautious on the effect of that which we see to the overall margin. And obviously our four-walls embedded in that overall margin forecast for the year. And so, I think we see beyond this year further opportunity but when we put enough sort of track record behind us, we can speak more confidently about what that will deliver. But for now our focus is getting ready over the next several weeks for peak and then executing within peak when we know people will be in our stores, I think our products and a great Canadian worth inference.
Brooke Roach: Great. And then just as a quick follow-up. There's been a lot of discussion about pricing in the industry overall and you're continuing to take select price increases in your assortment. Have you seen any change in consumer response to your typical pricing actions that you've taken this year in comparison to prior years? And what gives you confidence in the opportunity for continued price gains for the Canada Goose brand?
Dani Reiss: Yes. I mean we've been cautious this year, I think on pricing. And certainly, we evaluate what the competitive set does, what the market can bear. How that impacts consumer demand. We speak to our consumers both formal way and informal way. And so we want to be aware of what that means. At the same time, the quality of the product and the function of the product is critical in sort of creating the value proposition that we know we have. And so, we will continue to be aware but we also need to be sort of commercially responsible and no plans yet for what the future looks like, but our job is to continue to monitor and make sure that we're creating the best possible products with the best possible value proposition to the consumers want to and feel that what they get from the product is matches with the prices.
Carrie Baker: I can just add one thing. I do -- we do know from talking to consumers that we do still think that our product assortment has room to grow. And so we do think that there is a category or a level and an opportunity at the higher end where particularly as we bring in new designs that are from Haider. We think that there's a strong opportunity and the strong demand to build into there.
Brooke Roach: Great. Thanks so much. I'll pass it on.
Operator: Our next question will come from the line of Ike Boruchow with Wells Fargo. Please go ahead.
Unidentified Analyst: Hey. Thanks for taking my question. This is Robert [ph] on behalf of Ike. I was wondering if you could talk a little bit more about your full year plan for the wholesale channel, I mean years is I see you have it going down this year. How does it look next year? Are we at a point where rates are growing? Or do you see it more.
Carrie Baker: I'll take that. So we're also I think a reminder that we're executing a lot of change and a significant change in the wholesale channel. And our active this year is really to elevate that channel. So making sure that the events that they receive in that channel is exactly the same as what they would receive online or at Canada Goose or at one of our stores. So we continue to optimize the network, so focusing very stringently on accounts brand accretive also tightening up the supply just to increase the exclusivity. We know that wholesale analog overall has a lot of inventory in many, many categories. And so we want to work with them to make sure that we're not founding that issue. But we're also trying to make sure that we digitally express the brand in the right way and grow our rent of our offering. And we've been seeing really strong response to that this quarter in particular. So moving Canada Goose from the outerwear department to a luxury floor which is where we belong. And so they're recognizing both the elevation work that we're doing on the brand perspective, but also the breadth of the offering. And so that response is very encouraging. Over the full year, you see an outside impact as we've said in Q1. But on a full year basis we expect to see that decrease at about 20%. It's really just a timing of seeing that much more in Q1 because that's a big also quarter for us.
Operator: Our next question comes from the line of Jay Sole with UBS. Please go ahead.
Jay Sole: Great. Thank you so much. Dani, I'm interested in your decision to hire your first-ever creative director. What made the right choice? What do you expect to change? How do you expect the brand to evolve given the hire? Thank you.
Dani Reiss: Thanks for the question. I think we think the right higher proving our stream to get to where we have arrived and this is a right inflection point for us to take another significant step towards the global luxury brand that we're becoming and building capabilities in Paris with some of the best design telling the world exists. And with Haider taking the charge someone a long time to find and to connect with and to realize it was the right person for the role. And someone who is very excited about it. And I think this is something that Haider is the potential and we all believe it's going to take this round to the next level and that's -- and that's where we go.
Jay Sole: All right. Thank you so much.
Operator: I will now turn the call back to Ana Raman Vice President of Investor Relations for any closing remarks.
Ana Raman: Thank you. And thank you everyone for joining our call today. If you do have further questions, please feel free to reach out to the Investor Relations team at Canada Goose. Thank you.
Operator: Ladies and gentlemen, that will conclude our call for today. Thank you all for joining. You may now disconnect.